Operator: Thank you for standing by, and welcome to H&R Block's First Quarter Fiscal Year 2026 Earnings Conference Call. [Operator Instructions] After the speaker presentation, there will be a question-and-answer session. [Operator Instructions]. I would now like to hand the call over to Jessica Hazel, Vice President, Investor Relations. Please go ahead.
Jessica Hazel: Thank you. Good afternoon, and welcome to H&R Block's Fiscal 2026 First Quarter Financial Results Conference Call. Joining me today are Jeff Jones, our President and Chief Executive Officer; Tiffany Mason, our Chief Financial Officer; and Curtis Campbell, our CEO-elect; and Current President of Global Consumer Tax and Chief Product Officer. Earlier today, we issued a press release and presentation, which can be downloaded or viewed live on our website at investors.hrblock.com. Our call is being broadcast and webcast live, and a replay of the webcast will be available for 90 days. Before we begin, I'd like to remind listeners that comments made by management may include forward-looking statements within the meaning of Federal Securities Laws. These statements involve material risks and uncertainties and actual results could differ from those projected in any forward-looking statement due to numerous factors. For a description of these risks and uncertainties please see H&R Block's annual report on Form 10-K and quarterly reports on Form 10-Q as updated periodically with our other SEC filings. Please note, some metrics we'll discuss today are presented on a non-GAAP basis. We've reconciled the comparable GAAP and non-GAAP figures in the appendix of our presentation. Finally, the content of this call contains time-sensitive information accurate only as of today, November 6, 2025. H&R Block undertakes no obligation to revise or otherwise update any statements to reflect events or circumstances after the date of this call. I will now turn it over to Jeff.
JeffreyJones: Thank you, Jessica. Good afternoon, everyone, and thank you for joining us. I'm going to kick us off with a few opening comments and highlight some of our plans for the upcoming tax season. Tiffany will then provide details on our Q1 performance and outlook for fiscal year 2026. Curtis will share some observations on the business, and then I'll come back to wrap the call before Q&A. . We are off to a strong start to fiscal '26, and I'm pleased to see the early results in several areas of our business: assisted consumer tax, small business tax and Wave. At this time of year, teams are putting finishing touches on our tax season plans, considering the successes and key learnings from last year. At the top of the list continues to be the work of the marketing team to strengthen how we communicate our consumer and small business value propositions, our approach to personalization and management of the funnel. The retail and DIY teams are focused on capturing the demand created by marketing by eliminating customer experience friction and managing more clients through the conversion. Second Look, AI Tax Assist, Tax Pro Review and Spruce are key products that deliver great value to clients and help distinguish block and will all play important roles in our tax season plans. With this context, I'll turn it over to Tiffany to provide detail on our first quarter performance, capital allocation priorities and our fiscal 2026 outlook.
Tiffany Mason: Thank you, Jeff, and good afternoon, everyone. We are off to a strong start this fiscal year. In the first quarter, we achieved revenue growth of 5% and delivered a 9.4% EBITDA improvement compared to the prior year. Additionally, we returned approximately 455 million in capital to our shareholders during the quarter. As I review details of our first quarter results, I'd like to remind everyone that our business is highly seasonal, and this quarter consistently reflects that pattern. Historically, Q1 contributes just over 5% of our annual total revenue and typically results in a net loss. In the first quarter, we generated $204 million in total revenue, an increase of $10 million over the prior year. This 5% growth was driven by higher net average charge or NAC, and higher volumes in the U.S. assisted category and continuing double-digit growth at Wave. In our U.S. assisted business, during the first quarter, we helped individuals file prior year and amended returns that were often related to our Second Look offering and complete their current year returns ahead of the extension deadlines. As a reminder, Second Look is a unique offering that provides new clients a review of their past 3 years' tax returns to identify any missed refund opportunities. We also helped our small business clients file their entity returns ahead of the September 15 extension deadline. At Wave, we continue to see momentum in our high-margin subscription product, Pro-Tier, as well as strong payments volume. Total operating expenses for the quarter were $411 million, a decrease of $12 million compared to the prior year. This favorability was primarily the result of lower legal fees and settlements. As a reminder, we reported significantly elevated legal expenses in last year's first quarter. In contrast, legal expenses this quarter were consistent with our historical trend for this period. We remain disciplined in managing expenses, which is reflected in our strong first quarter results and our full year outlook. Our first quarter EBITDA loss was $170 million, an improvement of $18 million or 9.4% compared to last year. The effective tax rate was 23.6% compared to 26.2% in the prior year. Last year, we recognized a larger excess tax benefit from stock-based compensation, which contributed to a higher effective tax rate for the period. Our net loss from continuing operations was $165 million, representing a 3.5% improvement over the prior year. Loss per share from continuing operations was $1.26, while adjusted loss per share was $1.20 compared to $1.17 last year. As a reminder, in quarters with a loss, having fewer shares outstanding increases the loss per share. However, this is accretive as we generate earnings for the full year. This dynamic is reflected in the $0.03 year-over-year increase in adjusted loss per share even as our net loss improved by $6 million. Our long-term capital allocation priorities remain unchanged and continue to drive meaningful results as we invest in the business, grow the dividend and through opportunistic share repurchases, return excess capital to shareholders. Last month, we paid our regular quarterly dividend, which you'll recall reflected the 12% increase we announced in August. And on Tuesday, we announced our next quarterly dividend payment. During the quarter, we also repurchased a total of 7.9 million shares of stock for $400 million at an average price of $50.90 per share. This completed our share repurchase plan for fiscal 2026 and retired approximately 6% of our shares outstanding. In total, we returned approximately 455 million to shareholders in the first quarter, through dividends and share repurchases, bringing the cumulative total of capital return to H&R Block shareholders since 2016 to nearly $5 billion. We are proud of this track record and remain committed to our disciplined approach to capital allocation. Our first quarter results and full year plans position us well to reaffirm the outlook we provided in August. We continue to expect revenue between $3.875 billion and $3.895 billion, EBITDA between $1.015 billion and $1.035 billion, and effective tax rate of approximately 25% and adjusted EPS between $4.85 and $5. Let me briefly revisit some of the key assumptions that shaped our full year outlook. First, we expect industry growth to remain consistent with historical trends or about 1%. Second, we're focused on achieving a healthier balance of volume, price and mix supported by ongoing improvements to client experience and conversion. Third, we anticipate small business will continue to be a more meaningful revenue contributor. And lastly, we remain committed to acquiring franchise locations when opportunities arise at attractive EBITDA multiples. I'll close with a reminder -- our investment thesis remains strong amid ever-evolving industry and macroeconomic conditions. We operate in a stable industry. We have a strong national presence, and we maintain a compelling financial profile with healthy margins and disciplined capital allocation. This underpins our confidence in driving substantial long-term value for shareholders. With that, I'm pleased to welcome Curtis whom I've had the privilege to work alongside for the last 15 months to his first earnings call.
Curtis Campbell: Thank you, Tiffany. I'm pleased to be here. If I transition with Jeff and prepared to step into the CEO role on January 1, we wanted to leverage today's call to share some of the key themes that reflect the alignment between the 2 of us, the Board and the entire leadership team. I hope that this will serve as a backdrop for our conversations in the coming quarters. Hearing Jeff speak about our business over time, you know that we serve 2 distinct audiences, consumers and small businesses. There are 3 points about these audiences and our priorities that I'd like to share. First, the total addressable market for tax preparation and related small business services are very large, with over 130 million returns filed annually, the U.S. consumer tax preparation TAM is estimated between $20 billion to $25 billion. Additionally, there are roughly 35 million self-employed individuals and small businesses nationwide representing a significant segment of the economy. The U.S. small business TAM, including entity formation, tax preparation, bookkeeping, payroll, invoicing and payments is estimated at more than $100 billion. Given that, we have ample opportunity for continued growth with both audiences. Second, we'll continue to focus our investments on more complex paid filers who have greater needs, demonstrate stronger loyalty, intend to value additional services. This is true for consumers and small business owners alike. We've spoken about our success in attracting these types of customers over the last couple of years and remains important. Unlike many industries, market share in the tax prep industry does not directly equate to revenue. To focus on client growth that delivers the greatest long-term economic benefit to our business, we'll continue to evolve how we attract those clients who are free today but have the propensity to become paying clients over time. We're committed to making investments in acquiring customers that deliver the strongest lifetime value. Third, we continue to invest in improving the experience and innovating on products and services for both audiences. For example, in the Consumer business, our Second Look offering helps new clients recover missed savings from prior returns, sometimes thousands of dollars and Spruce supports year-round financial wellness while also playing a key role in elevating the client experience. In small business, integrating Wave's digital first product capabilities into our block advisers offering creates a more unified experience and expand the value we deliver to small business clients. And without a doubt, I'm excited about the potential it brings. With my background in technology and product, you should expect me to accelerate the evolution of our product design and engineering capabilities with a focus on ensuring that we're leveraging technology and AI to improve the customer experience, increase the efficiency and effectiveness of our tax professionals and drive productivity improvements throughout the organization. Jeff and I, the Board and the entire leadership team are aligned on these 3 things. It's also important to remember that delivering assistance to our clients in whatever way they desire remains critically important. Our omnichannel experience allows clients to seek assistance on their terms, whether that's face-to-face, virtual or Fully Digital with support from solutions like MyBlock, AI Tax Assist and Tax Pro Review. For additional industry context, the IRS classified filings that either signed by a tax professional or signed by itself prepare and the industry refers to this classification has assisted in DIY. Based on industry reporting, the market has split roughly 55% assisted and 45% DIY. However, what's easy to forget is that assisted continues to show strength and has gained share in 3 of the last 4 years and is projected to gain further share in 2026. This reflects the importance customers place on the expertise, confidence and trust that comes from working with a tax professional, especially in light of the numerous tax law changes and complexity in the tax code at a state and federal level. Capturing market share and assisted requires us to demonstrate our value versus independence, a highly fragmented and largest segment of the market, which remains our primary competitive focus. Having worked in the industry for approximately a decade in spending the last 1.5 years leading our Global Consumer Tax business, I know firsthand that H&R Block's edge lies in our ability to meet customers where they are digitally and in person. It's this unique combination of trusted human expertise and forward-thinking innovation that will set us apart. To wrap, I look forward to sharing more and getting to know you in the coming years. Now let me hand it back to Jeff for closing comments before moving to Q&A.
JeffreyJones: Thanks Curtis. I hope you can see why we're all excited about Curtis. He brings both leadership and strategic continuity and a fresh perspective on all that lies ahead. This is my final call as CEO of H&R Block. Over the last 1.5 years, Curtis and I have worked closely alongside the entire senior leadership team and with input from the Board not only to deliver on our business objectives, but also to develop a shared perspective for our next chapter. And I want to acknowledge how fortunate we are to be able to make such a smooth transition between Curtis and me. H&R Block plays an important role in enabling financial freedom for our clients by maximizing tax outcomes, providing actionable advice and value-added services for small businesses and offering a platform for financial wellness through Spruce, reflecting on our performance, progress and lessons learned over multiple years, we have even greater conviction in what the company can achieve when we execute at our best. I've appreciated your engagement over these last 8 years. And as I move into my advisory role for Curtis in January, I do so with great belief in all that remains possible for H&R Block. Now operator, we will open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of George Tong of Goldman Sachs.
Keen Fai Tong: I'd like to extend my congrats and thanks to Jeff. So as you head into next year's tax season, can you talk a bit more about changes you're planning to make to marketing and operations assisted to stem some of the share losses from prior years? .
JeffreyJones: George, let me just say thank you for that compliment. It's been great working with you since I've been here. I'm going to turn it over to Curtis to answer your question. I appreciate it.
Curtis Campbell: George, good to meet you, and I look forward to future conversations with you. When I think about our assisted business, we're excited about the work that the teams have done to elevate the quality and scalability of our offerings. And as you know, we continue to focus on learnings every year to ensure that we're optimized every season. We're excited about the outlook this go around. A couple of unique things that I do want to call out for assisted specifically will be the investments that we're making in Second Look. And as a reminder to folks here, Second Look is a service that we offer to new clients in which we're able to take a 3-year look back on prior returns to potentially uncover miss opportunities. And oftentimes, that turns into significant savings for our customers, and it's very unique to H&R Block. We're excited about that. The other thing that we're really excited about is our investment in AI moving forward and our ability to actually improve the productivity of our tax pros, that along with the fact that the improvements that we've made, leaning into the one big beautiful bill and ensure that we're optimizing the tax outcomes for our clients are things that we're pretty bullish on moving into the season.
Keen Fai Tong: Helpful. And then can you elaborate on your pricing strategy in DIY and how you expect that to impact both margins and market share performance? .
Tiffany Mason: Sure, George. Nice to hear from you. So our pricing strategy for the upcoming season is consistent with prior years and that we expect to be able to continue to take low single-digit price, and that's true across both channels, assisted and DIY. Our customer satisfaction metrics remain strong, and we are leaning into the value that we provide consumers in both channels, making sure that we amplify the benefits that we provide to consumers and as Curtis suggested, elevating client experience when we can. So we continue to be confident in that strategy.
Operator: [Operator Instructions] Our next question comes from the line of Scott Schneeberger of Oppenheimer & Company.
Scott Schneeberger: Curtis welcome again, and Jeff, best wishes in the future have enjoyed it. I guess to start off here, this is for anyone who wants to take it. With the -- and you guys alluded to it during the prepared remarks, that it's anticipated that next year is probably going to have complexity from the new tax bill, and that's probably going to drive to assisted. Can you speak about kind of magnitude you're expecting there and things you're doing to prepare as such. And kind of a part of a government tie-in Part B to this question is with the government shutdown, should we anticipate a slow start to the year? And what is H&R Block considering on that front as far as preparation for the open.
JeffreyJones: Scott, let me take your second part first. I mean as you know very well, we're in constant contact with Treasury and IRS and we've had no indication whatsoever that the season will start late. Obviously, we've been through a lot of things in the last number of years, the pandemic included. And so we've built a really nice playbook on how to think about being nimble and flexible if something were to happen, but sitting here today, we have no indication that the season is going to get off to a late start. And then I'll hand it over to Tiffany.
Tiffany Mason: And Scott, on the first part of your question around the uncertainty with the bill with one big beautiful bill, what we built into our outlook and the way that we're thinking about the impact of that is that we certainly expect it to be a tailwind. We are cautiously optimistic -- and the proxy that we used to represent that opportunity is the share shift that we saw between the DIY business to the assisted business last tax season. That was about 20 basis points of shift, and again, we use that as a proxy for this upcoming season.
Curtis Campbell: Scott, I'll jump in on the one big beautiful Bill comment as well. And you know this for 70 years, H&R Blocks worked really closely with the Federal government and the individual states. We think that we're well positioned to ensure that our clients receive the best outcomes possible. And this year is a great year for people to lean into their tax press and engage with us and have great outcomes.
Scott Schneeberger: Excellent. Just 2 more. I'll ask them together, but Curtis mostly for you, but -- and feel free to ask me to repeat, so I'm going to ask them both upfront. First one is just if you can address now that you've been there a bit and really dug in. AI differentiation, I mean, there is certainly a persistent outside threat to the H&R Block business model, but H&R Block has done a really good job innovating on that front. So I'd love your take on what you see there as far as opportunity and what you can advance and also addressing the threat as well? And then the second question is just as you addressed in the prepared remarks, the free customers, kind of the marketing to the free forever versus the free temporarily. What might we see that's new and different this upcoming season?
Curtis Campbell: Scott, let me tackle the AI one and you know this from my background, I'm a deep technologist. And we see AI as an opportunity without a doubt to ensure that we're delivering the best experience as possible, and we can optimize both our operations and the experience for our clients. A great example that you're familiar with, would be the work that we're doing with AI Tax Assist, which provides clients with real-time help in our DIY product. So AI is absolutely going to be a part of our toolkit moving forward. Do you want to take the marketing piece or?
JeffreyJones: Yes. I mean the -- Scott, so just your -- the second part of your question about the free clients. I mean, I think what we're getting better and better at is both understanding the cohorts of consumers that are likely free forever versus those predisposed to become paying over time, which requires us to get better and better at reaching them individually. I'm not sure that you, in particular, would see something different this year per se, because it's really about how we connect with those individual client cohorts to make sure we're getting the right messages to the right people. But that is absolutely an important focus as we think about paying clients in DIY and how we deliver great value to them.
Operator: Thank you. I would now like to turn the conference back to Jessica Hazel, for closing remarks. Jessica?
Jessica Hazel: Thank you Latif, and thanks to everyone for joining us today. We look forward to speaking with you again soon.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.